Operator: Good afternoon everyone, and welcome to Wendy’s/Arby’s Group’s third quarter 2009 conference call. Our host for are John Barker, Chief Communications Officer; Roland Smith, President and Chief Executive Officer; and Steve Hare, Chief Financial Officer. (Operator Instructions) I would now like to turn the conference over to John Barker, you may begin sir.
John Barker: Thanks, good afternoon everyone. Today’s conference call is accompanied by a PowerPoint presentation, which can be found on our Investor Relations page, our corporate website, at www.wendysarbys.com. The agenda for today’s conference call webcast will begin with remarks from President and CEO, Roland Smith. Roland will discuss a business overview, our third quarter financial highlights and progress we’re making on key profit drivers. Then our CFO, Steve Hare will review financial results in greater detail and he’ll discuss our dividend and our stock repurchase program. Roland will then update you on initiatives to drive performance at our brands and then provide final thoughts about our outlook for 2009 and beyond before we open up the line for Q&A. Our main focus on today’s call will be to discuss our financial performance as well as our plans to grow the business profitably and generate shareholder value. I’d like to take a moment to summarize what is included in the financial statements, which are attached to today’s earnings release. There’s a full P&L with a consolidated third quarter and year-to-date results. Please note that results for 2008 reflect pre-merger results for Triarc and therefore don’t include results of Wendy’s. You need to understand this difference, when looking at the comparisons between 2009 and 2008. They are not meaningful. Also included with today’s release are key balance sheet items. A table that shows for the third quarter and year-to-date EBITDA a reconciliation of EBITDA to the reported net income of loss, and adjusted EBITDA, which excludes facilities, relocation and corporate restructuring, integration costs and Wendy’s special committee charges in 2008. In addition there is a comparison to the pro forma results for 2008. Pro forma results are as if the merger with Wendy’s occurred at the beginning of 2008. A complete P&L on a pro forma basis for each quarter of 2008 is available on the IR section of our website. We also provided selected financial highlights for each brand with same store sales, revenues, four wall restaurant EBITDA margin percent and the total number of restaurants at quarter end and this morning we filed our Form 10-Q. Now before we begin I’d like to refer you for a minute to the Safe Harbor statement attached to today’s release. Certain information that we may discuss today regarding future performance, such as financial goals, plans, development, is forward-looking. Various factors could affect the company’s results and cause those results to differ materially from those expressed in our forward-looking statements. Some of those factors are referenced in the Safe Harbor statement that is attached to the news release. Also some of the comments today will reference non-GAAP financial measures such as earnings before interest, taxes, depreciation and amortization. Investors should review our reconciliations of non-GAAP financial measures to the comparable GAAP financial measure. Now, let me turn the call over to Roland.
Roland Smith: Good afternoon everyone and thanks for joining us today. Before I discuss third quarter results, I’d like to take a few moments to highlight the progress we’ve made over the past year since the merger between Wendy’s and Arby’s. On September 29, 2008, Wendy’s/Arby’s Group was established, creating the third largest QSR company in the U.S. with more than 10,000 restaurants worldwide. Since the merger we’ve made significant progress. We’ve produced solid earnings growth in an extremely challenging economic climate. We’re making significant improvements in Wendy’s company operated restaurant margins and we’re ahead of schedule to generate $100 million in incremental annual EBITDA or 500 basis points of improvement by the end of 2011. We produced significant cost savings through the integration and we’re ahead of schedule to deliver on our G&A savings goal of $60 million on an annualized basis by the end of 2011. We have also begun to explore additional cost saving opportunities in our ongoing effort to optimize G&A. From a brand perspective, we’ve strengthened our focus on product innovation and provided our customers with exciting new premium products. We launched Arby’s Roastburger in the second quarter of 2009 and we launched Wendy’s Boneless Wings and the new Bacon Deluxe Cheeseburger in the third quarter. We’re also developing and implementing more effective value strategies at each brand. We recently introduced our new Wendy’s brand positioning and advertising campaign “You Know When It’s Real”. We completed an agreement to form a new purchasing co-op at Wendy’s and finally we have enhanced our financial flexibility by completing a debt offering in the second quarter. This new capital allows us to invest in our strategic growth initiatives. Additionally, we have generated over $186 million in operating cash flow year-to-date, and we completed nearly $50 million in stock repurchases through the end of October. Looking ahead, we will continue to build on these accomplishments to drive transactions, grow sales and achieve our EBITDA growth targets. Now, I’d like to highlight results from our third quarter. We are pleased with our third quarter EBITDA results. Adjusted EBITDA was $124.4 million, an increase of 9.1% versus year ago pro forma results. Wendy’s performance was strong in the third quarter. Excluding the impact of breakfast removal, we delivered positive same-store sales. We also improved company operated EBITDA margins 400 basis points, compared to a year ago. At Arby’s we were disappointed with our sales in margin performance in the quarter. Same-store sales and margins decreased, impacted by significant discounting by our competitors. To improve sales and traffic, Arby’s launched the first phase of our new everyday value strategy in October. I’ll talk more about this in a minute. Now, I’d like to cover some performance highlights on both of our brands. As I just mentioned, and as you can see on slide eight, Wendy’s third quarter same-store sales excluding the impact of breakfast, were positive. Company operated same-store sales were up 0.1%, and franchise same-store sales were up 0.4%. We are pleased with this performance in light of the difficult economic environment and believe our same-store sales were among the best in the restaurant industry for the quarter. Most encouraging in the third quarter was our continued margin performance at Wendy’s company operated restaurants. As you can see on slide nine, Wendy’s restaurant margin was 16.5%, an improvement of 400 basis points as compared to the same quarter last year. This year-over-year improvement was driven by three key factors: improvements in food, labor and certain controllable costs, as our Store Managers continued to maintain an intense focus on more efficient operations, lower commodity costs, and menu price increases taken in late 2008. At Arby’s, same-store sales at company operated restaurants decreased 6.5%, while franchise restaurants were down 10.2%. Our company stores outperformed franchisees due to more aggressive product discounting in the quarter. Arby’s company stores generated a 12.1% restaurant margin, reflecting sales deleveraging, increased discounting and higher advertising expense, partially offset by favorable commodity costs. The next two slides provide an update on our two key profit drivers. The chart on the bottom of slide 11 highlights the original timetable for our targeted 500 basis points of margin improvement at Wendy’s company stores. As I said a moment ago, we significantly exceeded our margin improvement target in the third quarter and our year-to-date margin improvement was 300 basis points. As you can see, this is significantly ahead of our original target. Based on the excellent progress we’ve made in reducing food, labor and controllable costs, we now believe that our margin improvement for the full year will exceed 250 basis points. This will be over half of our 500 basis point target. Therefore, we’ve remain confident in our ability to improve Wendy’s margins by 500 basis points by the end of 2011. As you can see on slide 12, our second key profit driver is cost savings from synergies and efficiencies. We continue to be ahead of schedule on achieving $60 million in G&A savings. Our shared services center is now in place in Atlanta. Our IT projects are right on track. We signed an agreement to form the Wendy’s purchasing co-op and we have also begun to explore additional cost saving opportunities beyond the $60 million target. Now, I’ll turn the call over to Steve for additional details on the third quarter. Steve.
Steve Hare: Thanks, Roland. I’d like to update you on our consolidated P&L and our brand operating results, as well as the new Wendy’s purchasing co-op. I will also provide a review of our capitalization and planned capital expenditures through the balance of 2009. Finally, I will update you on our stock repurchase program and dividends. Slide 14 highlights the third quarter results and the special expense items in the quarter. Consolidated revenues were $903 million during the third quarter of 2009. Cost of sales was $684 million or 84.9% of sales and reflected continued improvement in Wendy’s restaurant margins partially offset by a decline in Arby’s margins. G&A expense was approximately $98 million, including $3.3 million of merger related integration costs. G&A was sequentially lower than the second quarter of 2009, as we continued to benefit from our key profit driving initiatives related to merger synergies and efficiencies. Year-to-date G&A was $321 million. On a comparable basis to 2008 we expect to exceed the G&A savings we anticipated during the year from this key profit driver and remain on track to realize the full $60 million target by 2011. Depreciation and amortization was approximately $47 million and is expected to remain relatively consistent for the fourth quarter of 2009. Impairment charges of $15.5 million, primarily related to the write down of fixed assets, for certain underperforming Arby’s restaurants. Facilities relocation and corporate restructuring expense of $1.7 million was primarily related to severance costs in connection with the Wendy’s merger. We expect approximately $1.3 million more in Q4 and we should be substantially complete with these transition expenses by the end of this year. Interest expense was approximately $36 million for the quarter and reflected increased interest expense related to our Q2 note financing, partially offset by the reduction of bank debt with a portion of the proceeds from that offering. We benefited from entering into fixed to floating interest rate swaps, hedging about one quarter of our total debt. Net benefit of the interest rate swaps in the third quarter was approximately $1 million. If these swaps had been in place for the full quarter the benefit would have been approximately $1.6 million. Net investment income reflects gains during the quarter; tax rate for the third quarter was 36.4%. We now anticipate our annual tax rate for full year 2009 will range between 25% and 30%. This is lower than our previous estimates primarily reflecting Q4 charges such as the co-op start up expenses. Net income from continuing operations was $14.3 million or $0.03 per share, which includes after tax special expense items of $12.8 million or $0.03 per share. Roland highlighted our adjusted EBITDA for the third quarter earlier. The table on slide 15 summarizes the adjustments to EBITDA which primarily include merger related integration costs in 2009 and predecessor Wendy’s merger related special committee charges from last year. Adjusted EBITDA was $124.4 million, and represented a 9.1% growth rate over last year. Now I’d like to talk about our cash flow. Slide 16 summarizes our cash flow generation for the first nine months of 2009. Cash flow from operations was $251.3 million and includes net income of $18.7 million, depreciation and amortization of $143.4 million, and other non-cash items of $89.2 million. Detail of these cash sources and uses are included in our 10-Q filed today. Capital expenditures were $65.3 million we now anticipate total capital expenditures for the full year 2009 to approximate $125 million, a reduction from our original $140 million plan. This reduction reflects a disciplined management approach to resource allocation, in response to the current economic environment. Net cash generated from operations was $186 million. We liquidated our equity investment account along with certain asset dispositions, to generate $48.4 million of cash during this nine month period. Net financing proceeds, primarily includes proceeds from the second quarter note offering, net of debt principal payments and financing costs to generate $366.4 million of additional cash. We returned $46.3 million in capital to our stockholders in the form of both stock buybacks and cash dividends. In total, cash increased by $554.5 million during this nine month period, for an ending cash balance of $644.6 billion at September 27, 2009. This strong cash generation and position provides us with significant financial flexibility going forward to fund our strategic growth initiatives, stock buyback program, or to further de-risk our balance sheet. Now, let’s look at our debt capitalization. At the end of the third quarter we had total debt of approximately $1.5 billion and net debt of about $865 million. Based on our trailing 12 month adjusted EBITDA, our total debt multiple is 3.9 times. This leverage ratio excludes any EBITDA return on the proceeds of our recent note offering. Our net debt multiple is 2.2 times. We believe our financial leverage is moderate and will continue to decrease overtime as our key profit drivers contribute to higher EBITDA levels and positive cash flow and we begin to deploy our note proceeds into strategic capital investments. One additional comment on our debt, in order to better manage our interest rate exposure, we entered into $361 million of fixed to floating interest rate swap agreements during the third quarter of 2009. We have now hedged approximately 24% of our total debt. Now let me talk about performance for each of the brands. For the third quarter, Wendy’s brand sales were $537 million and franchise revenues were $77 million. Total revenue was $614 million compared to pro forma revenue of $625 million in the third quarter a year ago, which represented a year-over-year decrease of $11 million. The year-over-year difference in revenue was primarily due to lower company operated same store sales, negative impact of foreign exchange rates of approximately $3 million and 17 fewer restaurants. North America same store sales were essentially flat as reported, but slightly positive when adjusted for the breakfast impact. Wendy’s Company operated restaurant margin was 16.5% for the third quarter compared to 12.5% in the third quarter of 2008, reflecting an increase of 400 basis points due primarily to operational improvements in food, labor and controllable expenses, pricing and approximately 100 basis points of favorable commodities. Wendy’s ended the third quarter of 2009 with 6,608 restaurants, a net decrease of 17 units versus the third quarter of 2008. We anticipate that Wendy’s net restaurants will decline by approximately 20 units during 2009. For the third quarter Arby’s brand sales were $269 million from company operated restaurants and franchise revenues were $21 million. Total revenue was $290 million compared to $310 million in the third quarter a year ago, a decrease of approximately $20 million, which was due to a decline in same store sales. North America systems same store sales were negative 9% compared to a year ago. Arby’s company operated restaurant margin was 12.1% in the third quarter compared to 16.6% in the third quarter of 2008. The year-over-year difference was due primarily to sales deleveraging as well as targeted product discounting and additional advertising expense in 2009, partially offset by favorable commodity cost. Arby’s ended the third quarter with 3,739 restaurants, a net increase of four units from the end of the third quarter of 2008. We anticipate that Arby’s net restaurants will decline by approximately 50 units in 2009, primarily as a result of fewer franchise openings and higher closings. Now let me update you on the new Wendy’s purchasing co-op. The company and our franchisees completed an agreement to establish a national supply chain co-op for the Wendy’s brand. The quality supply chain co-op or QSCC will manage food and related product purchases and distribution services for the Wendy’s system in the US and Canada. The creation of the co-op marks the successful combination of an effort to organize an improved supply chain system to pursue cost savings opportunities while maintaining the quality of the Wendy’s brand.  The company committed to support the co-op with $15.5 million for its initial startup, which will be expensed in the fourth quarter and paid over the next 18 months. Operating costs of the co-op will be paid by all members including franchisees after an initial startup period and will operate independently from the Arby’s co-op, as well as from WAG. We are exploring the opportunity to leverage the combined purchasing power of both QSCC and the Arby’s co-op for non-brand specific purchases. Now I like to provide an update on stock repurchases and dividends. On November 3, the Board amended the stock repurchase program to increase our authorization to $100 million. We completed approximately $49 million of stock repurchases as of October 26, and acquired 10.3 million shares on an average share price of $4.77. The current authorization will remain in effect through January 2, 2011, which gives us the flexibility to utilize the additional $50 million authorized to repurchase shares as market conditions warrant. The Board also declared a cash dividend for the fourth quarter of $1.05 per share or approximately $7 million. This dividend will be payable December 15 to stockholders of record on December 1. Now, I’d like to turn you back over to Roland.
Roland Smith: Thanks, Steve, I’ll now provide you with an update on key brand initiatives, growth opportunities and our outlook. In the third quarter, we announced selection of the Kaplan Thaler Group as Wendy’s new lead advertising agency and last month we launched our new “You Know When It’s Real” advertising campaign, highlighting Wendy’s great tasting products, our quality ingredients and commitment to fresh, never frozen North American beef. We featured this new advertising campaign at our recent franchise convention and the feedback was overwhelmingly positive. If you haven’t seen the new Wendy’s commercials, I encourage you to check them out at our corporate website at www.wendysarbys.com. Speaking of what Wendy’s does best, our hamburgers. In October, we introduced our new Bacon Deluxe Cheeseburger, which features juicier beef, applewood-smoked bacon cooked from scratch in our restaurants and a new premium bun. Although, October company same store sales at Wendy’s decreased approximately 4%, on a two year basis our same-store sales were up 1%, which is consistent with our first three quarters. These results exclude impact of removing breakfast. In October we chose to relaunch our brand and focus on a new premium product, which we believe will have long term benefits. The Bacon Deluxe is mixing well, at expected levels and the feedback has been outstanding. We believe same store sales will improve from October as we roll over easier comparisons and focus our advertising on the introduction of the new Baconator and a new value offering. We also have a full pipeline of new products in various test phases and we’re testing a significant new value strategy that we expect to introduce next year. At Arby’s we recently introduced the first phase of our new everyday value strategy, where customers can pick from one of five full sized sandwiches with a drink for $5.01. The $5.01 combo lineup features two roast beef sandwich favorites and includes three new products, the Roast Beef Patty Melt, Roast Chicken Ranch and the Roast Beef Gyro. All of these sandwiches are made with our premium sliced meats and at the $5 price point we believe they are a great value. Customer response has been very positive as evidenced by a product mix in excess of 20%. The second phase of our everyday value strategy will include expanding our new dollar menu to additional markets. In test, transactions were positive and same store sales improved significantly. Particularly when offered in combination with our new $5.01 combo lineup and importantly, average check and restaurant margins were not significantly impacted. In October, as industry same store sales have softened and competitive discounting has remained intense, Arby’s same store sales have further softened. However, looking forward, we believe Arby’s same store sales trends will improve from October for two key reasons. First, we expect our new $5.01 combos to continue to gain traction and give our customers a reason to visit more often and second, we will expand the dollar menu to additional markets to further improve our affordability ratings. We firmly believe longer term as we balance our premium products with new everyday value strategy, sales and margins will return to normal levels. We continue to be excited about the international growth opportunities and in the third quarter announced addition of Andy Skehan to lead the international team. As I have stated before, both of our brands are significantly underpenetrated in international markets compared to our QSR peers. We’ve completed a comprehensive analysis that shows that we have the potential for over 8,000 international units and we are focusing our development efforts on high priority markets based on key demographic and competitive factors, to take advantage of this large growth opportunity. In addition to continuing franchise development in current markets, we are exploring opportunities to expand in new markets, including company store development. One of our strategies for international growth is dual-branding, combining Wendy’s and Arby’s under one roof to drive revenues and unit economics. The first dual branded restaurant is scheduled to open in Dubai early next year. Before I summarize, I’d like to update our financial outlook for 2009. We expect Wendy’s store level margin to improve by more than 250 basis points versus a year ago, which is above our initial target. We expect to remain ahead of schedule on our G&A cost savings initiatives. Assuming sales improve in November and December, and response to our marketing initiatives, we expect to deliver mid-teens EBITDA growth in 2009. We believe this EBITDA growth rate will be an excellent result in light of the current economic conditions. So in summary, we are pleased with our third quarter and year-to-date EBITDA growth. We are making great progress at Wendy’s, restaurant margins improved significantly and same-store sales were among the best in the industry at Arby’s, we are focused on regaining transactions with our new everyday value strategy. We are ahead of schedule on our key profit drivers and we are producing significant free cash flow. We have significant growth opportunities in international and, finally, we are confident that we can generate annual EBITDA growth in the mid-teens through 2011. Now, I’ll turn it back to John.
John Barker: Thanks, Roland. We’d like to open up the line for questions and we know we have a large number of participants on the call today. So we ask that you try to limit your questions so we can get everybody on the line; operator, if you would then open the line for questions, and give the directions for queuing up please.
Operator: (Operator Instructions) Your first question comes from David Palmer - UBS.
David Palmer - UBS: Quick just a financial question, just with regard to the swap that you’re doing on the $360 million of debt, how much might that reduce your interest cost on that debt? Secondly, with regard to the marketing in November and December, are you talking about the Baconator for Wendy’s and dollar menu at Arby’s? Could you perhaps give us a sense of that and perhaps if that’s a change of what you were going to be doing based on how tough the environment is, and the fact that, a $5.01 combo might not have the response that you want. In other words, the only way to go value these days is to go lower than that with the $1 price point. Any thoughts on that would be helpful.
Steve Hare: Let me go first and on the interest rate swap the effect of the swaps for this quarter was $1 million of interest rate savings compared to what we would have paid and then on the swaps were not fully in place for the whole quarter. So had they been in place the quarterly impact you could anticipate would be $1.6 million of course that assumes rates stay where they are today, but that’s a good ballpark for the quarterly savings until rates move.
Roland Smith: I want to answer your question about the fourth quarter as it relates to marketing. As I mentioned, yes, from a Wendy’s perspective, we do plan on re-launching the Baconator. We do also have a new value offering that we will be launching late in the quarter. I’m not prepared to talk about that obviously from a competitive standpoint. At Arby’s, as I also mentioned we did launched the $5.01 combos, worth every penny. They are mixing incredibly well so the consumer response has been very good. We expect that traction will pick up a little bit overtime. As you know the advertising levels at Arby’s are significantly below many of our competitors so it takes a little longer for that message to get out. Sometimes that message has to get out by customers actually coming into the store and seeing it and participating and that’s a little bit where we haven’t seen transactions improve in October based on the launch of that. We will add to that kind of the other end of our value Barbell, so to speak, a more, kind of aggressive dollar menu, which I mentioned on the call that has had excellent results in the southeast where we’ve tested it and we think the combination of those two value offerings from our new Arby’s strategy will begin to rebound transactions and grow sales.
David Palmer - UBS: Do you anticipate this to have any impact on your margins and I’ll leave it there?
Roland Smith: David, interestingly enough as we looked at the new value menu from a check and a margin standpoint, there have been minimal impacts in check, because though we’re seeing consumers actually use this value menu differently than I guess some of our competitors. Many of these products have been add on items and so our check average is remained relatively high even in the market and our test market that has had it in the longest has had it in almost 10 months now and also based on the fact that everyday value is in the store everyday and consumers begin to understand that, we have been able to reduce significantly the amount of couponing and other promotions that we typically have done which is allowed us to kind of improve our margins from that standpoint. So net/net in our test markets we have not seen much change in either check average or margin from the dollar menu and so we’re pretty optimistic from what it can do from a transaction sales and margin standpoint.
Operator: Your next question comes from John Glass - Morgan Stanley.
John Glass - Morgan Stanley: First if I could go to the Wendy’s on sales for the quarter. What was the sequential progression, and as you get into October down four seems like a fairly big step down. So, was that maybe in directly in response what you saw the $1 cheeseburgers were being advertised at Burger King, and is there any evidence that your sales are improving once you have now put in the new advertising campaigns?
Roland Smith: First of all we don’t talk about individual monthly kind of same store sales performance. So I’m not going to be able to go there, but I will mention the minus 4. I think the first thing I should highlight is that minus four over a two year standpoint, as I mentioned in my prepared comments is actually plus one. So obviously from a mathematical standpoint we are rolling over a very, very strong October of last year of over 5%. So on a two year basis we feel pretty confident about it also I think it is important to point out, John that at the beginning of October we relaunched our brand positioning with the when its real campaign and have that great response generally from that, from both consumers and from franchisees, feeling that it was exactly what the Wendy’s brand needed and what the Wendy’s brand has been about for some 40 years. That was thematic advertising for the first couple of weeks which was meant to reestablish our brand positioning and as, note thematic advertising doesn’t drive sales in the store and specifically in the difficult economic market that we’re in now with unemployment and 23 straight weeks of negative sales declines in the major 46 brands from the industry information that we have, we weren’t surprised with a little bit of softening of our same store sales in October. Since we have began to talk about the Baconator with our advertising. I hope you have seen some of those commercials. We go directly after the fact our products are fresh, never frozen. We talk about North American beef, we talk about freshness and quality and the realness of our products. The sales mix of the Baconator has increased every single week since we put that in and Bacon Deluxe. The Bacon Deluxe has increased every single week since we put that in. It’s right now mixing in the neighborhood of 5%. So, we feel very good about that mix in the store and we feel that will continue to grow and as we get a little bit more retail in the last half of the quarter from the standpoint of talking specifically about the Baconator and then bringing back some value we think those sales will turnaround and improve.
John Glass - Morgan Stanley: Is there anything in the G&A in this quarter that was unusual or could this $95 million ex-charge run rate be more of what you’re going to see in the future?
Steve Hare: I don’t think there is anything unusual there I think the only thing I would point out to you, and it is not a big number, but as the Arby’s performance has come down, some of the incentive compensation related to that business, we would have adjusted. So that’s part of the difference you’re seeing there, but still overall I think what you’re really seeing is the kick in the realization of the G&A savings from the merger as we get those to the bottom line.
John Glass - Morgan Stanley: Just the last one, can you talk about the health of the Arby’s franchisees and how much royalty relief you gave them and how that impacted the margin line at Arby’s I guess more importantly, how the franchisees doing given the comp store performance?
Steve Hare: First let me address it on the Wendy’s side I should say that there the health of the franchise system is quite strong. I’ve been very pleased with the fact that collections there have remained on track through this economic recession that we’re sort of struggling with. So there we have seen no need to increase reserves and really very little restructuring of arrangements there. On the Arby’s side, again, most of the Arby’s franchisees continue to perform quite well. Some of the franchisees that are more highly leveraged we’re working with and clearly the low same store sales performance that Roland has talked about is impacting them there we are working with them. In fact we have hired a financial advisor that is an expert in restaurant restructuring to come in and be an advisor for some of these franchisees, because our interest is to make sure these good stores stay open through this cycle. So, we’re working with them we do not go in as far as guarantee any of their debt directly, but certainly we’ll work with their banks, with their landlords, to try to put together a restructuring program that gives them time for the business to stabilize and work through this, so that we can keep these good stores open in these markets that are very important to us. I would say financially maybe the best way to look at it in terms of the impact on our business is that you will see that we recorded about $1.5 million of additional bad debt expense in the quarter, year-to-date about $3.6 million. Most of that is related to the Arby’s brand and I think that’s the order of magnitude of the financial exposure that you’re seeing us absorb here.
Operator: Your next question comes from Jeffrey Bernstein - Barclays Capital.
Jeffrey Bernstein - Barclays Capital: One just a follow up, I think Roland you mentioned you’ll hit the mid teen’s EBITDA in ‘09 target. Assuming that the comp trends improve as expected in November and December. Just wondering what perhaps comp you’re expecting to get to hit that target or perhaps, better yet, where the EBITDA would come in, if comps did not improve as you were expecting and then I have a couple of follow ups. Thanks.
Roland Smith: Jeff, we’re not going to suggest what our outlook is on EBITDA. We feel comfortable with the outlook that we have given and certainly we don’t forecast comp sales for either brand either, but what I was trying to rely is that we expect our comps to improve from October and that is the improvement that we would expect and need to deliver on our forecast.
Jeffrey Bernstein - Barclays Capital: Then how much did the 53 week contribute in dollar EBITDA or percentage growth?
Steve Hare: Well the 53 week is clearly in our numbers. I don’t know that calculation off the top of my head. We certainly could follow up with you and provide it offline today when we have a follow up call.
Jeffrey Bernstein - Barclays Capital: I think last call you had mentioned, or maybe when we had met last year, we talked about the incremental cash you were going to have discussions with the board as to how to deploy it if perhaps in the near term, there were no significant investment opportunities, you guys decided to pursue. Now you are sitting with a fair amount of the cash, just wondering how you would use that until something desirable comes along perhaps.
Steve Hare: We’re clearly in the process now of finalizing our annual business plan for next year. We actually review that with the board in December and we’re also doing a five year strategic plan where we’re looking at the best ways to redeploy that that capital. As we talked about, our priority for using that cash is to reinvest into the business into strategic growth initiatives. Roland’s mentioned a couple the Wendy’s breakfast initiative, I think the international expansion, as he mentioned, perhaps including company-owned stores internationally, and some of these dual-brand initiatives mostly in these international markets are all opportunities. I think, for us to accelerate growth by redeploying some of that cash. I think beyond that, obviously you saw the second leg of our common stock buyback program that was announced, so another $50 million will be dedicated for that use and, again, part of it is a little bit of a hold-back in terms of de-risking that the balance sheet as we have some debt maturities down the road and depending on how the bank market performs here over the next couple of quarters I think having some of that excess cash available is a nice degree of financial flexibility to have here going forward.
Jeffrey Bernstein - Barclays Capital: Just lastly I think you mentioned that pricing wouldn’t help the margins in the fourth quarter as much as perhaps in the third. Just wondering, whether you could bring us up to-date in terms of how much price was at each brand, perhaps in 3Q and what you’d expect for 4Q and perhaps for 2010?
Roland Smith: The price we’ve been referring to over the last couple of months that we’ve spoken to you is price we took in 2008, and generally speaking, we haven’t taken price in 2009. It’s been an incredibly difficult economic market out there and our competitors have been discounting significantly and we want to stay competitive and clearly from a forward-looking standpoint, we don’t forecast what price we might take from a competitive standpoint.
Jeffrey Bernstein - Barclays Capital: How much is in there right now, perhaps?
Roland Smith: I would say if you take a look at the third quarter margin improvement at Wendy’s and you separate the 100 basis points that we mentioned that we received from commodities, probably a similar amount we receive from the standpoint of pricing. So almost half of our 400 basis point improvement was what I would call good old fashioned hard work. Our managers were in the store, reducing their costs in labor and in food, and in controllables, when I say food I mean the difference between theoretical and actual food costs, so not commodities. So we’re pretty pleased with our performance from that standpoint. We’ll see less price benefit obviously in the fourth quarter, as I mentioned. We’ll still see some commodity tailwinds because we don’t expect that commodities are going to increase in the fourth quarter.
Operator: Your next question comes from Sara Senatore - Sanford Bernstein.
Sara Senatore - Sanford Bernstein: I wanted to ask a bit of a bigger picture question, which is to say. I know that Arby’s you talked about being a higher ticket in terms of the quick service and that you’re addressing that by the discounting. I’m trying to figure out; we’ve seen pretty good results from the fast casual names that are in many ways, I think not dissimilar, higher quality, higher ticket. So can you talk about maybe why your trends are diverging from there and is it a different customer? Are they taking share from you? Just give me a sense of is most of this cyclical or is there some structural piece, too?
Roland Smith: Clearly I think the market is always cyclical and I think it certainly will rebound. I’m assuming, Sara, as you referred to fast casual, you’re referring to Panera, which we’ve seen, and it has been the surprise from standpoint of their performance. Clearly Arby’s is perceived by our consumers as a very high quality food offering. I stated a number of times that has been a brand positioning for well over 45 years and it is a positioning we intend on maintaining. On an ongoing basis, from a product development standpoint, we work very hard to ensure that we continue to improve the quality and the taste of our products. We have a very vibrant new product pipeline at Arby’s like we do at Wendy’s, and we have I think some exciting new products that we will plan to launch in 2010 to continue to ensure that we maintain what we talk about, which is our premium positioning at the Arby’s brand. Now, these are not my words, but what is typically referred to in our industry as the barbell approach works very well for Arby’s, because we do have a premium positioning, but based on what’s going on in the economy and with our competitors, we clearly now understand that we need to provide a better offering from a value standpoint if we’re not going to lose the bottom end of our customers that very much like our food, but with our current economic situation are not able to come in as often as they once were. So that’s why we have focused on really understanding what it would take to bring those customers in. We have decided it is a two prong strategy, the first of which I mentioned a moment ago, which are our $5.01 combos. We think we are unique in that regard because, again we are keeping our heritage of premium high-quality food by referring to it as worth every penny. Then as we’ve tested the dollar menu in the southeast, as I mentioned, we have seen some very strong kind of results based on the dollar menu, and quite honestly probably stronger results than we’ve seen both the combination of the dollar menu and the $5.01 combos. So we feel, Sara, very good about this value strategy going forward for Arby’s, where we’ll continue to have premium products, but we’ll introduce what we are calling everyday value. Customers don’t need to wait for a coupon or a special promotion or something in the past they had to wait for. We’ve seen our couponing, quite honestly, redemption go way down based on the fact that every other competitor is couponing and filling up everybody’s mailboxes and it is becoming wallpaper. So in order for customers to understand they don’t need to do that, which they don’t in most of our competitors. We’re rolling out this coupon value strategy, that we have good results on and we are confident that are going to turn around transactions and sales, in conjunction with the fact that we will continue to be perceived as a premium brand. I mentioned from a results standpoint, the good news about our dollar offering and you will remember from the picture on the slide, they are specific products that we have put on that dollar menu, that we can sell for $1 and not have a gigantic negative impact on our margin. We just didn’t take our base products and say, “Okay, we’re going to start selling things for $1 like some of our competitors have.” Because certainly we thought that would not only have a negative impact on margins, it would have negative impact on the perception of the quality of our brand. As you’ll see on that dollar menu some things we can afford to sell for $1. Many of those items as I mentioned, the consumers are beginning to use as an add-on item. So they’re buying a full margin product and adding on a couple of items or they are buying more than three or four items and again, our check averages remained relatively strong and compared to our other company stores that have not had the dollar value menu, our margins have improved. So we’re pretty confident about the future of that in conjunction with our positioning.
Operator: Your next question comes from Michael Gallo - C.L. King.
Michael Gallo - C.L. King: I guess my question just centers around on sort of a two part question. Your commodity cost outlook as you head into 2010, and what impact you expect the creation of the co-op to have on costs, whether you think that there will be some G&A that you’ll be able to transfer to the co-op, and how much you think that might be, and how we should think about the phasing in as to whether you’ll see much benefits from the co-op in starting in the back half of 2010, or whether you might not get that benefit until 2011? Thank you.
Roland Smith: Sure, Michael. From a commodity standpoint while you didn’t ask this specifically I probably should mention it to have a full answer and that is from a Q4 standpoint. We continue, as I mentioned in a moment, to feel like we’re going to get some tailwinds. Net for both of our brands it’s probably going to be a reduction of commodities of 6% to 8%. So we feel pretty about that. From 2010 standpoint, year-over-year we believe this is going to be modest commodity increases. We are working as we speak on our analysis for 2010. So we can use that as we start to put together our operating plan for 2010, but at this point we see a moderate increases in commodities. From a co-op standpoint we are very excited about the formation of the Wendy’s co-op that Steve mentioned in his prepared comments. We expect the co-op to be fully formed and functional by January of 2010 and we believe as they leverage the number of stores that Wendy’s has, that we’ll be able to increase the amount of efficiencies that we’re able to enjoy based on how we purchase food. Certainly, the co-op will be paid for by all of those restaurants involved, to include company stores and franchise stores, but net-net certainly we will enjoy some G&A savings and those savings are savings we have already considered from the standpoint of our $60 million target from the standpoint of our two key profit drivers. Future or I should say further out, what is very exciting to us is that now that we will have, I should say, two fully functioning co-ops, obviously the new co-op that we’re forming at Wendy’s and what we call ARCOP, which is the Arby’s co-op that has been functioning since 1977, and so the good news is that we’ve done this before and we understand how to interact with a co-op successfully. That those two co-ops will begin to work together and start to look at how we could leverage the purchasing power of 10,000 restaurants versus 65 or 3500, for non-brand specific items where everyone will benefit from that. Certainly, Michael that will be a longer term benefit, but I hope we begin to see the benefit from that later in 2010, starting in 2011.
Operator: Your next question comes from Joe Buckley - Banc of America.
Joe Buckley - Banc of America: With respect to the Wendy’s food co-op, what kind of participation are you expecting from the franchisees, have they all committed to join the co-op at this point?
Roland Smith: Joe, great question, we have just completed our worldwide franchise convention out in Las Vegas a little over a week ago and we finalized the documentation to form the co-op several days prior to the convention, and so we were fortunate to be able to speak about the convention from the platform, and actually the new board members were able to going to have break-out meetings to talk about the benefits of the co-op to their franchise community that attended. The other good news, Joe, is that the participation at this convention was almost that an all-time record we had almost 3,000 folks there. The general feeling, I will tell you, was very, very positive. A lot of excitement about the new advertising, a lot of excitement about our new positioning and quite honestly, a lot of excitement about the co-op, and so we’ve only had in period of time, about a week or so, to kind have franchisees officially sign up, but what I can tell you is, before we left the convention, over 50% of our franchisees had already signed up to join the co-op. So we think that this is going to be a very, very highly participated co-op as we go forward.
Joe Buckley - Banc of America: Question on the international company expansion, how do you expect to target that? What kind of markets will be company markets versus franchise markets? How will you pick and choose?
Roland Smith: Obviously, it will be based on the research that we’ve done to date. Some of it will be targets of opportunity where you might go in, for example, and have the opportunity to maybe buy or purchase a current franchisee that we don’t think is expanding as quickly as they could expand because that particular market has a significant amount of opportunity. We’ll look at markets where a company presence, would be a requirement to kind of solicit interest from franchise partners in the future. Probably the best example of that would be China, where certainly without some company presence, clearly we don’t think that aggressive expansion is going to be something that is something that we can do as quickly. We are pretty excited about the addition of Andy Skehan, as I mentioned, who has significant experience in international both at Pepsico and at Quiznos and Nabisco and has lived internationally and is already on the ground and although been on board for just over a month has already been to almost all of our international markets, and visited with many of our franchisees, and we had a wonderful opportunity just a week ago at our convention where we had a very strong representation from our international franchisees where they could meet and talk about plans for the future. I hope that answered your question, if not follow up.
Joe Buckley - Banc of America: Would this be a big use of capital, when 2011, 2012, the international company venture?
Roland Smith: I don’t think it will be a big use of capital in 2010, Joe. Although, we are beginning to put together very specific plans for some company expansion and international expansion that will take some time to bring to fruition. I think you’ll see some capital usage based on that later in 2010 and certainly in the out years.
Operator: Your next question comes from Steven Kron - Goldman Sachs.
Steven Kron - Goldman Sachs: One follow-up quickly on the co-op discussion, it’s clear that included in your cost save outlook and your margin expansion target is the formation of this co-op on the Wendy’s side, but it was unclear to me, if you find additional opportunities by finding synergies between the two co-ops that you have now for your brands, is that also included in the cost expectations or is that outside the numbers?
Steve Hare: Steven, to be very clear, there was very little in our margin improvement that we expected from the standpoint of the formation of the co-op., certainly, the co-op was included in the expectation of the $60 million of G&A savings. I should, when we, because I strongly believe we will be able to find additional efficiencies as the co-ops work together, none of that upside has been included in any of our expectations.
Steven Kron - Goldman Sachs: Secondly, just back on the Wendy’s sales for a second. If I look back over the last year, the brand has seemingly responded pretty well to some of the advertising of new products you brought to the market like the THREEconomics campaign and the Boneless Wings campaign, and it seems like during those periods, the two-year trends actually accelerated perhaps for a brief period of time, but nevertheless accelerated when those marketing windows were open. I hear you talk about October, when you had the new advertising, and the introduction of the Bacon Deluxe and you held to your constant. I’m just wondering if you could just put some perspective around that. You seem pretty pleased with that, but it doesn’t seem to be necessarily as good as maybe some of the past initiatives. Or, is in this environment, holding the two year trend constant good enough, because the category is actually saying two year trend deceleration, maybe you could just talk a little bit about that?
Roland Smith: Yes, I should start off with the latter part of your question that really talks about what is going on from a deceleration standpoint from within the industry. I’m sure you’re all very familiar with these statistics, but based on the industry information as we subscribe to and look at on a very regular basis, same store sales have been negative now for the large number of brands that we track for 23 straight weeks, and it has decelerated even more in the middle of October to somewhere in the neighborhood of 5.5% down. So it is a very difficult economic environment, clearly. One of the big drivers of that as you well know is what’s going on with the jobless rate in the United States, a 28 year high at 9.8%, expecting this morning, I heard, to approach 10%. I think the numbers come out tomorrow. I think we got some 21 months now of consistent job losses, and if you take a look at job losses specifically in the category of our own target they’re almost double what people are reporting. If you take a look at jobless rate between the folks that are 18 to 34, which is the prime target that we look at in QSR, it’s approaching 16%. So you take all of those factors together and clearly it is one of the most difficult markets that I’ve ever operated in and probably most of us have ever operated in. So looking at Q3, a two year comp sales trend at plus one, we feel pretty good about it. That wouldn’t suggest that we’re going to set down and not work as hard as we can to kind of get, kind of trends moving up from there. So that we can continue to drive and achieve our EBITDA results that we’ve talked about, but based on where we netted out for, the competitive marketplace in the third quarter, we did pretty well at Wendy’s. Now to talk about the advertising, clearly when you put advertising on there, that is more retail-focused, that is in your face value driven, like our trio or for that matter our core for, the consumers tend to respond to it much more quickly. They’re coming in for something that they perceive as a limited time offer. So the response obviously is quicker than when you actually step back and take the time to really reintroduce your brand to the consumer. I’ll tell you, Steven, few of our competitors have actually taken the initiative to actually go out and talk to their consumers about what their brand is really about in this environment. We were able to do that in October. I feel great about our new positioning, our “You Know When It’s Rea” campaign, and the quality improvements that we made in the Bacon Deluxe. As we got into more specific retail marketing for the Bacon Deluxe, as I mentioned the mix has been growing almost every single week and we think it will continue to grow. As we go through the latter part of the fourth quarter with a little bit more retail oriented advertising, I think you’ll see those two-year trends actually improve as well as the trends from October.
Steven Kron - Goldman Sachs: Then just lastly, real quick, can you just remind us when we cycled the removal of breakfast in those company stores and maybe just an update as to maybe where the breakfast testing is going right now?
Roland Smith: The first question answer is we cycle it in December and so in a couple of months that will not be something that we speak about in the future because we’re kind of rolling over the fact that we’ve taken it out for a year. From a breakfast outlook standpoint, I’m excited to say that the team has been working incredibly hard over the last six to nine months. We have revamped the entire breakfast menu and hardly a single product remains based on the comparison to the original menu. Now, when I spoke to you about this more in depth over the last couple of quarters, I talked about the fact that the initial product line did not test well with consumers. It was launched anyway and as we looked as to what was going to be necessary to break into this very competitive, but very compelling market, we knew we were going to have to develop products consistent with our brand positioning. Now that we have reintroduced our brand with high quality fresh, real products, certainly our breakfast products need to mirror that positioning and that’s exactly what the new product development team has produced over the last number of months. These products are fantastic. I’ve eaten all of them. The board has eaten most of them. They have been equally excited about it. Many of our franchisees have also been able to sample them and they have also given us strong feedback and we’re beginning to test them from a quantitative standpoint with our customers, initial feedback is also very strong. We will take this new lineup and we will begin to reintroduce it into our three test markets early next year. We will read those results. We will expand it from there and then ultimately our plan is to be prepared for a national launch by the end of 2011.
Operator: Your next question comes from John Ivankoe - JP Morgan.
John Ivankoe - JP Morgan: Roland in the prepared remarks you talked about roll off of pricing in late in 2009 several times. Was that pricing rolled off as of October?
Roland Smith: September.
John Ivankoe - JP Morgan: Have you quantified what exactly that pricing was, or can you do that just so that we can have a better sense of the deceleration from September to October? Maybe that was all pricing-driven.
Roland Smith: No, what I can do is talk about how pricing and commodities impacted our margins, which I’ll reiterate; about half of our margin improvement of the 400 basis points, obviously, was related to that, but we don’t break it down from the standpoint of how much it drives sales on a monthly basis.
John Ivankoe - JP Morgan: I know you talked about trying to re-hit or I forget the exact words or redevelop value strategy at the Wendy’s brand to some extent. Maybe that is just one new product, I’m not sure.
Roland Smith: Much more extensive than that, John.
John Ivankoe - JP Morgan: Is it something that can be accomplished in a margin neutral way by definition would it be value or margin dilutive if you want to get consumers’ attention.
Roland Smith: No, we don’t think that it doesn’t have to be margin dilutive. Obviously we have very publicly stated we’re marching forward to improve margins by 500 basis points and we wouldn’t want to do things that would preclude that from happening. We spend a significant amount of time and money and energy kind to try to understand value from the Wendy’s point of view. We have developed a couple of what I think are very innovative and interesting value propositions. It is not just one product. It is a strategy. It is a way for customers to look at our menu. Those have been tested from a quantitative standpoint. We have gotten very good feedback. I would love to tell you about it because it is going to go into market test relatively soon, but I don’t want to give our competitors a heads-up because I think it is a competitive advantage assuming it tests well and we’re going to be able to roll it out to all of our stores next year. As I think you’re well aware of, Wendy’s was the very first brand to introduce a value menu and we have expectations that we’re going to be one of the first brands to re look at how value works with our consumers and actually have it work not only from a margin standpoint, but from a sales and transaction standpoint.
John Ivankoe - JP Morgan : Finally and quickly, have you figured out coffee for Wendy’s breakfast?
Roland Smith: We believe we have and we’re pretty excited about it. That will be something that we will put in our test here relatively soon and, again, the initial feedback has been very strong on the quality and the taste of our new coffee.
John Ivankoe - JP Morgan : Is it going to be branded Wendy’s or something else?
Roland Smith: We’ll let you know that as soon as it hits the market.
Operator: Your final question comes from Chris O’Cull - SunTrust Bank.
Chris O’Cull - SunTrust Bank: Roland given the lack of sales list at Arby’s, coupled with the margin erosion it would appear that consumers are trading down, but not increasing their frequency. Is there anything you guys are doing regarding the advertising media mix or message to increase trial and awareness of the new value menu at Arby’s?
Roland Smith: That is something that we are working on as we speak, and I think your analysis is relatively fair. As I mentioned, the amount of advertising that Arby’s has had up until now to introduce our new $5.01 combos is not significant, because of the size of the media pool that we work on and so many of the consumers that have participated I think if come in and seen it and said, hey that’s great, I certainly want to try one of those new $5.01 combos and that is why it is mixing over 20%. So what we’re working on now is plans to ensure that we can get that message out there more broadly. Part of that is the fact that our medium Arby’s customers, which I’ve talked about a number of times, that come into our stores 1.6 times a month, haven’t had a chance to come in that second time. So, that frequency is not something we have seen yet because we’re very early into this from a promotional standpoint. I think we’ll begin to see that later in the fourth quarter. As they realize, wow, this is going to be on the menu everyday, it is something that I think they will participate more broadly in and their frequency will increase as we get into early next year. As we talked to them and said, look what do you think about Arby’s products and what will it take to get you in more often. What they’ve said is look, we love the quality of your products, but they’re too expensive. I need to be able to come in on a more regular basis to spend a little less money. So that’s the $5.01 story and then from the standpoint of folks either adding on products or needing a further discount, that is the expansion of the dollar menu. So the combination of the both of those we think has have a positive impact on transaction sales and ultimately margins.
Chris O’Cull - SunTrust Bank: Have you had discussions with franchisees about shifting more dollars in 2010 from coupons and local advertising to national advertising?
Roland Smith: In our test markets, in the Southeast, one of the things that we are excited about from a dollar menu standpoint is that we have been able to decrease significantly the amount of couponing and other price promotions that we have typically had to put in our store, based on the fact that we’ve had this menu in and it is an everyday value offering. So that allows us to do one of two things either spend that money on additional advertising or take it to the bank and make sure our margins continue to be strong. What we have talked to our franchisees about and we are in the process of working this right now, is in increasing significantly the amount of advertising that we spend from a national basis, versus the local basis, because obviously national is a lot more effective. In fact, we had a national vote not too long ago, to increase the collection of national advertising from 1.2% of revenue to in the neighborhood of 2.3% of revenue, and how we use that and when we put that into place in 2010, is what we are working on right now to ensure that we have the most effective use of media to get our messages out there.
John Barker: Thanks, everyone. That will conclude our conference call for today. Steve Hare, myself and Kay Sharpton will be doing follow up calls this afternoon with many on the south side and we all look forward to talking to you all soon. Thanks a lot.
Roland Smith: Thank you all for participating today. I look forward to seeing you in the market and in individual meetings.
Operator: I would like to thank everyone for joining today’s conference call. You may now disconnect.